Operator: Good morning. My name is Lyra, and I will be your conference operator today. At this time, I would like to welcome everyone to Keyera Corp.'s second quarter conference call. [Operator Instructions]. Thank you. I would now like to turn the call over to Calvin Locke, Manager of Investor Relations. You may go ahead, sir. 
Calvin Locke : Thank you, and good morning. Joining me today will be Dean Setoguchi, President and CEO; Eileen Marikar, Senior Vice President and CFO; Jamie Urquhart, Senior Vice President and Chief Commercial Officer; and Jarrod Beztilny, Senior Vice President, Operations and Engineering.  We will begin with some prepared remarks from Dean and Eileen, after which we will open the call to questions. I would like to remind listeners that some of the comments and answers that we will give you today relate to future events. These forward-looking statements are given as of today's date, and reflect events or outcomes that management currently expects.  In addition, we will refer to some non-GAAP financial measures. For additional information on non-GAAP measures and forward-looking statements, please refer to Keyera’s public filings available on SEDAR and on our website.  With that, I'll turn the call over to Dean. 
Dean Setoguchi : Thanks Calvin. Good morning, everyone. I'm pleased to announce that our Board of Directors have approved a 4.2% dividend increase, returning Keyera to its long history of sustainable dividend growth. The increase is supported by the growth of Keyera's fee-for-service business segments.  In the last 5 years, we've been investing significantly to create a fully integrated service offering from the Montney and Duvernay place through to our core Liquid Infrastructure in Edmonton and Fort Saskatchewan. These strategic investments continue to deliver volume and cash flow growth. We remain on track to reach a targeted annual 6% to 7% fee-for-service EBITDA growth out to 2025.  Our Liquid infrastructure segment delivered 21% year-over-year growth reaching a new quarterly record of $119 million. KAPS is now fully in service with the second of 2 pipelines shipping its first volumes in June. KAPS integrates our value chain, making us more competitive and enhances our ability to track new volumes.  Our platform offers customers a much needed competitive alternative from wellhead to end market.  In our G&P segment, we delivered $84 million in realized margin. This result was achieved despite the impact of Alberta's wildfires.  Again, we'd like to thank all emergency responders and care personnel who ensured that everyone remains safe and that our assets were largely unimpacted.  [Diluent] liquid remains strong for G&P business. We foresee continued filling of available capacity, particularly at Wapiti and Simonette, as producer activity ramps up. Expansion of the Pipestone Gas Plant is on track for completion in the first quarter of 2024.  Our G&P customers are in a strong financial position and have multi-year growth plans. This is driving continued growth of the segment, while at the same time increasing the length of contracts and improving cash flow stability.  Our marketing segment had another strong quarter supported by the strength of our iso-octane and condensate businesses. This segment delivered  $134 million of realized margin in the quarter and $251 million year-to-date. We're increasing the 2023 guidance for this segment to range between $380 million to $410 million have realized margin.  With the major investments of the last 5 years behind us, we expect growth spending to be lower going forward. This means we'll have more free cash flow to allocate.  Our capital allocation priorities are unchanged. The first, to ensure financial strength, and then a balance between increasing returns to shareholders and disciplined capital investments.  Our debt leverage metrics are well within our targeted range, and now we increased our dividend.  In terms of future growth investments, they'll be primarily focused on projects that leverage and enhance our existing core asset position in Western Canada. This could include a debottleneck of existing frack, a new frack expansion and a potential KAPS zone for extension.  Any incremental investments need to generate a strong return underpinned by long term contracts. I'll now turn it over to Eileen to provide an update on Keyera's financial performance for the quarter. 
Eileen Marikar : Thanks, Dean. Adjusted EBITDA for the quarter was $293 million, compared to $316 million for the same period last year. Distributable cash flow was $207 million or $0.90 cents per share, compared to $209 million or $0.94 cents per share for the same period in 2022.  Net earnings were $159 million compared to $173 million for the same period last year. These results were driven by record performance from our Liquid Infrastructure segment, and the third best ever quarterly marketing segment margin.  We are continuing to maintain a strong financial position, ending the quarter with net debt-to-adjusted EBITDA at 2.6x, at the lower end of our targeted range of 2.5 to 3x.  Moving to our guidance for 2023. As Dean mentioned, we now expect our marketing segment to contribute between $380 million and $410 million of realized margin in 2023. This is up from our previous guidance of $330 million to $370 million.  The revised guidance takes into account financial hedges currently in place and assumed AEF runs at capacity. There are no significant logistics or transportation curtailment and current forward commodity pricing for any unhedged volumes for the remainder of the year.  Growth capital guidance remains unchanged at between $200 million to $240 million. Maintenance capital guidance is now expected to be between $95 million and $105 million, up from the previous range of $75 million to $85 million. About half the increase is due to the completion of work that was already prepaid. The balance of the increase includes additional maintenance cost of Pipestone Gas Plant which is expected to be recovered to increased future revenue.  Cash tax expense is expected to be nil. I'll turn it back to Dean. 
Dean Setoguchi : Thanks, Eileen. Macro outlook for our business environment remain very positive. Canada's energy resources will be essential in meeting the world's growing energy demand. Our basin continues to grow and sets new records for both natural gas and crude oil production.  LNG Canada and the Trans Mountain pipeline expansion will unlock future growth. We're excited to contribute to this growth by being an essential infrastructure service provider.  On behalf of Keyera's Board of Directors and management team, I want to thank our employees, contractors, indigenous rights holders and other stakeholders for the continued support.  With that, I'll turn it back to the operator for Q&A. 
Operator: [Operator Instructions]. Your first question comes from the line of Rob hope from Scotiabank. 
Robert Hope : First off, want to maybe get a little bit of an update on KAPS. How have volumes ramped relative to your kind of base expectations, just given -- I guess it's early days, but just given some dynamics out in the basin? As well as now that the pipeline is in service, have discussions with customers accelerated? Have any additional contracts been signed? 
Dean Setoguchi : Listen, it's a great question that you have on KAPS, and I would have expected that. First of all, we're very pleased that the pipeline is fully in service, with the second pipeline again delivering volumes in June. So, again, it's like any asset, when you bring it up, everything doesn't just turn on all at once. But I would say that, that process works very, very smoothly and we work very closely with our customers, and now that it's in service, and certainly there's a lot more visibility to growth in the basin, we have a lot of great discussions with our producers.  And again, I want to emphasize that, first of all, we have a fully integrated system now, so we can offer that bundled service. Again, I always like to use analogy of your internet cable, and cell phone, and home security provider. I'd say almost everybody uses a bundled service because it's more efficient, and obviously our bundle package is the same way. So I think that's a great advantage.  What we're seeing is that our volumes are a little bit ahead of where we would have expected to start up. But again, it's still early days yet. We've always gotten to the market that this would be a slow ramp up and we still expect that, but as of where we are today, we're a bit ahead of schedule.  But I would reiterate that -- the final note that we did guide 6% to 7% fee-for-service EBITDA growth out to 2025. A lot of that is coming from our G&P business and filling our white space there, but part of it as well as KAPS and the KAPS ramp up to 2025.  The great thing about KAPS is that, especially with the basin growth that we're seeing, we expect it to continue to grow in terms of volumes and cash flow right through the end of the decade. 
Robert Hope : And then as a follow up, just take -- I want to dive a little bit deeper into the comments you made on capital allocation, specifically with how you'll take a look at outperformance in marketing. So, good to see another sustainable dividend increase. But when you take a look at moving forward, how do you balance dividend increases versus growth capital? And in an environment where you can see outside marketing margins like 2023, could you look to return those to shareholders via buybacks? 
Dean Setoguchi : Yes. That's a great question. And before I turn that over to Eileen, I'd just say that we're very pleased with the position that we're in today. We've undergone a number of years of very significant capital for the last 5, 6 years, and we've built a very strong Montney position -- fully integrated Montney position over that period of time, and we have those expenditures behind us. We have a very strong balance sheet and we have growing cash flow. So that puts us in a great spot where now we have options as to where we allocate capital to add the most value for our investors. But with that, I'll turn it over to Eileen. 
Eileen Marikar : Yes, that is a great question. I think it is important to take it back to our overall priorities. Our first priority will always be to maintain our balance sheet strength, and we're certainly there today.  For this year, we are prioritizing paying down short-term debt from the higher marketing contribution. But beyond the balance sheet, our objective really is to grow distributable cash flow on a per share basis so that we can continue to grow the dividend.  And this can really be achieved in two ways: one, buying back shares; or reinvesting in the business. As we look out to next year it will be a competition for capital between these 2 options.  Our preference would be to do smaller size, but impactful growth projects that meet our investment criteria. And really, by small, I mean smaller relative to the large-scale projects that we've undertaken over the past few years. 
Operator: Your next question comes from the line of Robert Kwan from RBC Capital Markets. 
Robert Kwan : If I can maybe just continue on the capital allocation topic. Eileen, clearly you're prioritizing the balance sheet. I'm just kind of wondering the low debt EBITDA is partly a function here of strong marketing. So do you introduce a third priority? And even just the fiscal dividend of reducing leverage, like -- or how are you looking at that leverage range? Is that on the long-term marketing number? Are you -- even though you have the long-term number, you're kind of just planning for something that's closer to what you're doing, because the other way you can grow DCF for shares is to just continue to repay debt and save the interest as well? 
Eileen Marikar : Yes, that's a great question. And when we plan leverage, I mean that 2.5 and 3x is very conservative. And certainly through various cycles, it has protected us from taking any drastic measures, like for example, cutting the dividend during COVID. We never had to do that. So we're very, very much -- we want to stick to those principles.  And when it comes to those marketing cash flows, you're absolutely right. We don't take into account nor plan for outside marketing as we think about leverage going forward. We're really more to that face, the marketing guidance. 
Robert Kwan : So is the bias then whether -- if you can get the growth CapEx, that's great, but is the bias into 2024 to maybe continue to repay debt versus direct to share buybacks? 
Eileen Marikar : I think this year, like I said, that it really is to repay, use those strong marketing cash flows to reduce our short-term debt. In terms of the rest of our debt profile, we don't have anything material that's coming due for the next -- until 2025. And so as we look at next year, it is -- if we have some great projects or if it's returning cash to buybacks, we will look at both options going into next year. 
Robert Kwan : If I can just finish with a couple of questions here on KAPS. The first is, are you able to disclose what the actual contribution was in the quarter, and also confirm that what was booked is a Liquids Infrastructure was all third-party margin?  The second is just -- with your new partner here, has there been anything just stumpy, having a fresh set of eyes on KAPS, whether it's the contracting or expansion potential that you've been able to get out of the partnership so far? 
Dean Setoguchi : Maybe just a last question with a new partner. They've been really great to work with. They're very engaged. And our team has worked -- Jamie's team has worked very closely with them. So yes, we think that they've been very positive in terms of attracting new business. So we're going to continue to build that relationship. And we're very aligned in terms of what we want to accomplish with this pipeline. So that's all been great.  Your first question with disclosing amount. Yes, we're not going to disclose the amount of how much KAPS contributed in the in the second quarter. I would say it was pretty modest, just because, again, it came on middle of the -- sort of mid-quarter, but also, there's a wrap up profile like each customer sort of come on sequentially. So it wasn't like everything came on at once, the volumes that we do have. So I would say it was modest in the second quarter. 
Robert Kwan : But -- and was it all third-party revenue or are you booking into corporate as well? 
Dean Setoguchi : Yes, third-party. And as you know, we have a note. I can't remember off top my head of any sort of intercompany allocations, but I can confirm it with third-party revenue in the second quarter. 
Operator: Your next question comes from the line of Robert Catellier from CIBC Capital Markets. 
Robert Catellier : I'm interested in knowing what the contribution is and also the schedule, the ramp up over the next couple of years? But looks like that might not be forthcoming today. So maybe, Dean, you can talk about the actual physical operating performance of the asset since it's been placed into service?  And second, they're just the Zone 4. Where you stand with that today and what's your vision for a reasonable time line for making your decision there? 
Dean Setoguchi : Yes. First of all, just maybe I'll add more color to the wrap of KAPS, is that, obviously a lot of the discussions we have with customers is very commercially sensitive. So we have to be mindful of that. There are confidentiality provisions put in place and, we will update at the right time when it's good for our shareholders, but also respecting the confidentiality and sensitivity of those discussions.  With respect to Zone 4, we remain optimistic on Zone 4. And especially as we see Canada LNG, it's not that far away now. And once that gets put into service, that's going to be another couple of DCF of demand. And we certainly see our basin growing to fulfil that demand. So I think that's going to be great for our whole NGL value chain.  So with that, some of that's going to be in BC. We've obviously seen a lot of progress with the very first nations group and also the Treaty. So with that, there's more overall optimism in DC. And -- so we continue to have a lot of engaging discussions with customers in that Zone 4 in Alberta and also in the BC to track their volumes, so, right through the KAPS, and into Fort Saskatchewan.  So, timing on that. I think that we'd probably expect more in the first half of next year. But we do have really great conversations on that perspective.  And again, the whole rationale for why producers are really interested is they want to have a comparable alternative. They're investing billions of dollars along that Montney fairway. And from a reliability perspective, it's nice to have two systems to get your volumes into Fort Saskatchewan, where the market hub is.  And second of all, commercially, it's always nice to have two parties that you can negotiate with, for your service. So, we're happy to be that comparable alternative.  And I'd also maybe say the third point is that we have a brand-new pipe. So from a reliability perspective, we think we'll have a really, really stellar run performance over the next several years.  Maybe just on the operating performance on KAPS. I'll turn that over to Jarrod here. But I do commend the group for the great job they did in commissioning and bringing up that project up. It went too seamless as one could hope for. 
Jarrod Beztilny : Yes, we're really pleased with how that project came on line and ramped up. And, as Dean described, it was really a staged approach with various customers and really on both lines, rather than kind of one shot at a time, and really pleased with how our ops and business teams work with the customers and work with each other to really bring all those up smoothly. And we've been very pleased with the operational performance of that line so far.  So it's allowed us to be a bit ahead of volumes as you heard, but it's early days in that ramp up. And -- But operational performance is really key for us in giving our existing customers confidence and -- or ability to attract new customers. And again, really, really pleased out of the gate. 
Robert Catellier : I have a similar question on frack capacity. It looks like you're pretty high in terms of your utilization. And that's not uncommon in the industry right now. So leads me to believe that maybe the debottlenecking, although it's quite efficient, I'm just curious if it's really enough capacity? And related to that, I'm curious about your appetite for being in the market for a new frack, more significant expansion at the same time that [ammonizing] in the market with theirs? 
Dean Setoguchi : That's a great question. I mean, obviously, frack capacities is tight, and we look at the forecast for [nat] gas blowing drill from the basin over the next 3 or 4 years. It's very significant. And with that, we're going to see a lot more liquids that get stripped out of the gas stream as well. So we think that's a great opportunity for our frack complex at KFS.  Again, I -- we're very pleased that we're able to add capacity in a very tight market with their acquisition -- the 21% acquisition of interest at KFS earlier this year. So that helps us out. You're right. I mean, we've been telling everyone that we've certainly been doing engineering on a debottleneck, which is, I think, likely going to be a great opportunity for us.  But we certainly have our eyes set on a potential frac expansion in the future as well because more capacity will be required. And you know what, we provide a great service out of our KFS site. It's very, very well connected from a pipe perspective and for all commodities, but also for rail and truck egress as well. Jamie, is there any else you wanted to add on that? 
James Urquhart : Yes, Dean. I think you hit the high points. I think the only thing I'd add as well is that the opportunity exists and that we're making really good progress on actually recontracting our existing frac as well. So you may note that we've stepped into the other 21% at KFS, but the opportunity is now to be able to recontract and extend existing agreements out into the future. And that's been our first focus. We've been very happy with the success on that front. And then as Dean alluded to, we're looking at opportunities to either debottleneck or expand on our site. 
Dean Setoguchi : I think -- I mean, obviously, with the fully integrated system out of the Montney with KAPS in place, we're looking for those old bundled package deals where we can offer G&P services, NGL transportation, fractionation, and marketing services. So trying to provide that full service, and obviously, that helps boost our corporate profits overall. 
Robert Catellier : Last question for me is related -- I'm happy to see the 2023 marketing guidance increase. But as you've heard me say before, I've been expecting directionally a long-term increase at some point. Is frac capacity the bottleneck for being able to do that? Or is there something else you need to see to take a second look at the long-term marketing guidance? 
Dean Setoguchi : Yes. I mean, that's a great question regarding our marketing guidance. Obviously, we have a very good track record with our marketing business. And I do want to emphasize that our marketing business is really leveraging off of the physical assets that we own and the volumes that we have in our system. So it's a way to really maximize profitability across our entire value chain. But maybe with respect to the guidance and the potential increase, I'll turn that over to Eileen. 
Eileen Marikar : Sure. Yes, I know this is a great question because we have consistently outperformed that guidance. Maybe just a little context on the base guidance. It's meant to represent a level of contribution that we have a high degree of achieving within, like certain normal or typical assumptions. So -- and those are laid out in the MD&A. But the record margins that we saw last year and the increase in guidance this year is largely driven by exceptionally strong iso-octane premium that cannot be hedged as well as our [BOB] pricing that's well above the 5-year average.  But that said, we do plan to revisit our base guidance later this year in light of having access to more volumes now that KAPS is online and with the additional frac capacity that we just acquired. So more to come on it. 
Operator: Your next question comes from the line of Linda Ezergailis from TD Securities. 
Linda Ezergailis : Recognizing that it's a board decision on a dividend increase, beyond your 50% to 70% payout ratio guardrails, how might you think of the frequency and growth rate of future dividend increases would kind of the default be typically once a year? Or maybe prospectively, we might see as new accretive assets, whether they're built or acquired coming -- and contribute maybe a bit more of a bump then? 
Dean Setoguchi : Great question on the dividend. First of all, I want to reiterate that we're very pleased to return to dividend growth again. And you would know as well as anybody that, that's really the legacy of our company. We started out as a trust 20 years ago. This is our 20th year as a public company. And we've distributed and dividend out a lot of money over that period of time. We took a bit of a hiatus after 2019 and part of that was we hit the COVID period, but we also have -- had a heavy capital spend with KAPS.  And so -- but I do want to reiterate, though, during that time, we shut off our DRIP. So we actually self-funded KAPS during that period of time. We did increase our dividend. But now that KAPS is behind us, we're able to do that now. And we've never had a -- we've never reduced our dividend. So any time we increase our dividend, it's got to be sustainable. But let me just turn it over to Eileen and she can maybe speak about our philosophy on dividends going forward? 
Eileen Marikar : Yes, Linda, it's really tied to growing that distributable cash flow on a per share basis. So EBITDA, but after taking into account interest taxes and maintenance expenses, and it has to be supported by growth in our fee-for-service business. So we're on track to achieve that 6% to 7% EBITDA growth out to 2025 that comes from our fee-for-service business. And that does support then growth in a DCF per share. But ultimately, the timing and the amount of future increases will be a board decision. But that's the framework that we use. 
Linda Ezergailis : And just as a follow-up, the 6% to 7% growth, what is -- I mean, I'm assuming it's a high confidence that you can achieve that. But what element of that, if any, might be coming from future capital investments, even if they're small bolt-on projects versus the white space that you already have or the projects that are under construction? 
Dean Setoguchi : Yes, that's a great question. The great thing is that most of that 6% to 7% increase is capital that has already been invested already, and we've spent the money. So it's really our G&P business and filling up white space there. There is some capital associated with the Pipestone expansion. So that's in the $50 million to $60 million range, but we've disclosed that. Some of that is tied to our acquisition, the 21% acquisition of KFS.  And then obviously, we see contribution from our KAPS pipeline that's going to ramp up over time. And as I said, that's going to contribute to our EBITDA growth well into the end of the decade. So that will continue to grow. So we'll enhance that. I mean, obviously, new projects will have a lead time in terms of build and being able to generate a return off of that. But we do see some good projects to build, to add future growth for the future as well. 
Linda Ezergailis : And just another quick follow-up, as it relates to cash flows, recognizing that there is some below-the-line moving parts below EBITDA. Can you talk about the current medium and longer-term outlook for your cash taxes as your capital expenditures kind of lighten up in terms of your tax pools, and how they're depleting, and how we might think of the cash taxes ramping up over the next 5 years? 
Eileen Marikar : Yes, cash taxes, I mean, really, we don't provide specific guidance on that. We will in the third quarter for next year. But as you think about our pools, certainly, the KFS acquisition gave us significant pools as well as the large capital projects that we've undertaken, that will help for certainly a period of time. But you're absolutely right that there comes a point where tax is something that is definite and will come in. So that's just something that we will continue to manage. 
Operator: Your next question comes from the line of Patrick Kenny from National Bank Financial. 
Patrick Kenny : Just a follow-up on the Liquid Infrastructure segment. Just wanted to confirm that you see this higher demand for your storage and fractionation services as being repeatable, I guess, under current commodity prices. And if so, what opportunities there might be to exceed that 6% to 7% adjusted EBITDA growth outlook, simply from sweating the assets, either through optimizing your commercial framework at KFS or perhaps looking at new ways to maximize throughput and NGL handling capacity at Rimbey. 
Dean Setoguchi : Well, listen, I mean, we still have white space in our systems. So we're not forecasting 100% utilization of all of our assets. So, there is possibilities to exceed our 6% to 7% growth. I would say that the best opportunities are still the G&P business, and also in our KAPS pipeline, where we'd have the most capacity to do that. But we'll have to see in timing of when those volumes show up. But we do believe that we're going to help enable the basin to grow, and we'll see more volumes to their system over time.  In terms of higher demand for Liquids Infrastructure assets, maybe I can turn that over to Jamie, and he can provide a bit more color on that. 
James Urquhart : Yes. Like I mean, I think what your question points to is something that we've always done in our organization, is trying to either optimize our existing assets physically, and we've been able to do that over the years and continue to look to do that around our KFS asset, but also with [AEF] as well. We've gotten a few extra percent of capacity coming on over turnaround last fall, and we've got other ideas to increment up the capacity at AEF, not in tens of percents, but in single-digit percent, so over the next few years.  And then as you're alluding to at KFS, so physically, we can do it. And then as you alluded to, my group's mandate is to obviously optimize commercially how we can sweat the assets, as you said. So I think there's opportunities. But as Dean says, I think the more impactful opportunities will lie in the Wapiti, Pipestones, the KAPS capacity that we have. That's what's driving our target around EBITDA growth. 
Dean Setoguchi : Maybe just to add to what Jamie said, Pat, is that we always talk about the 21% interest that we acquired at KFS and we talked about the frac. But with it also came storage capacity, and also the pipeline capacity [under] FSPL system between Edmonton and Fort Saskatchewan. So as volumes grow. We think that there's going to be certainly more demand for that storage, our pipeline capacity, and also more volumes also translates to likely more business through our terminals as well. So I think it's a pretty positive outlook. 
Patrick Kenny : And then I guess with respect to throughput in the South region, you mentioned in the MD&A that you expect Deep Basin volumes to remain relatively strong, just given the financial strength of producers. But just curious if there's any other optimization or consolidation opportunities across the asset base in the south as you look into, say, 2024? 
Dean Setoguchi : Yes. You know what, we always talk about our Montney business, which -- that's where the majority of our G&P margins are generated. But we shouldn't forget about the Deep Basin because the Deep Basin is still an attractive place. The geology is still very strong, not just with some of the conventional plays that have been developed over time and applying better technologies to drilling and completing them.  But we're seeing more emergence of the Duvernay that's starting to become an emerging play down there, which I think could be exciting for us. So we see opportunities, but we still have a lot of -- we still have white space down in our South portfolio. So our primary focus is going to be to fill that and make it as profitable as possible. But at the same time, maybe Jamie can comment too. I mean -- I think we're starting to see opportunities to recontract some of the volumes that we have going through our facilities there, but -- and that's been looking good as well. 
James Urquhart : Yes. Just to give a little bit more flavor, and I alluded to this. So I can't remember it was last quarter or the quarter before, is that we are seeing relatively high utilization in our Strachan, Nordegg, Brazeau complex that's connected with pipe. And as Dean alluded to, is that we've been in the last 6 months in the process of recontracting with customers around those assets, and based on the fact that there is limited capacity available, we're pleased to -- with the results of that recontracting.  The white space that Dean alludes to is probably more in the Rimbey area. But as Dean alluded to, is that, that is where we're starting to see some pretty encouraging results from the Duvernay. And we have -- we're optimistic with respect to being able to support those producers' growth at the Rimbey gas plant. And that gas plant is fully integrated into our value chain, pipeline connected all the way into Fort Saskatchewan. So that's a key asset for us in the South G&P asset base. 
Operator: Your next question comes from the line of Feng Huang from BMO. 
Feng Huang : A couple of questions on Keyera new ventures. I'm wondering -- perhaps maybe a commercial update on your key projects in new ventures, and I think more about attempt on sanctioning? I'm also curious around any thoughts around the draft legislation and the tax credits last week, and maybe comments on how you think you think your balance sheet puts into these potential opportunities? 
Dean Setoguchi : Yes. We're excited about our new ventures opportunities. Certainly, they're -- I would say they're more longer term looking at the back half of the decade. But again, we think that we're very well positioned to capture more opportunity there. As I said before, I mean, as an infrastructure company, we provide essential services to conventional hydrocarbon business, mainly on the gases and NGL side.  But for the enablement of low-carbon products, you need the same kind of services, you need pipelines, you need storage -- above ground, below ground storage. You need truck and rail logistics, and you also need to have processing capabilities as well. All things that we have a lot of strength in. So we see a great opportunity there to maybe repurpose some of the assets that we have in the greater Edmonton-Fort Saskatchewan area. And specifically, we have a really great undeveloped land block there that we want to develop a low-carbon industrial park. But with that -- I mean, this is all under Jamie's group and maybe I'll turn it over to him to provide more color on that. 
James Urquhart : Yes. So I think I can provide a little bit more flavor around some of the things that we've announced previously with respect to relationships that we have with CN around rail. I can share with you that we've gotten a lot of interest and uptake with respect to customers, with respect to the unit train opportunity that we see with CN on our joining lands up in the Fort Saskatchewan area. So we are progressing with understanding those opportunities a little bit more. We're spending some money on engineering to forward that opportunity.  Similarly, we're in conversations with other entities around carbon capture, sequestration to really make our lands the preferred location for some of the opportunities that others are looking at. Specific with respect to tax credits, not exactly sure what -- where you're leaning with respect to that question, and perhaps you can just reach out to our Investor Relations group to -- maybe pose that question and get the answers you're looking for. 
Feng Huang : And I was more curious if the legislation is anything different than you're expecting and probably -- more check on that. And can you also talk about -- are you -- is there anything with these -- are these projects related all to the ammonia value chain? And could you comment also, are these more in the context of multibillion dollars of capital opportunity? 
Dean Setoguchi : No, maybe just from a general macro perspective, we are seeing a general interest in ammonia. And I think Japan, they're expressing an interest for ammonia and they have incentives in place. How real that is, I guess, we'll -- only time will tell, but there's certainly a lot of interest. You've heard different projects that have been out there. We've been approached for citing some opportunities on our lands. But again, it's still very early days.  The great thing is that if this is a real opportunity, we have, I'd say, one of the best locations -- if not the best location to develop ammonia project. And again, it's just because of our connectivity in the area where we have industrials owned land. We have cavern -- underground cavern capacity. We have the potential for our rail terminal with CN to egress ammonia to the West Coast.  But again, it's still early days. And I think there's got to be a lot of work even from a transportation perspective and the safety of transporting ammonia through communities all the way to the West Coast.  So maybe the last advantage we have is we're very close to where you would connect to a carbon capture line. So again, all things that you would need for ammonia project, but -- early days, but we're seeing -- we're certainly seeing interest there. 
Feng Huang : And then maybe lastly, anything on WildHorse? changes on the outlook there? 
Dean Setoguchi : Yes. Great question. I haven't talked about WildHorse in a while. That asset's just based on where crude was trading, given the fact that the [backwardization] that we've seen over the last couple of years -- when it started up, we had an existing customer base, contracted the facility. We haven't seen a ton of volumes moving through the terminal, but that has actually started to change in the last quarter. And we're really optimistic now based on the unique characteristics of that terminal, and the capabilities of that terminal and getting familiar with the entities that do commerce in [indiscernible]. That asset is starting to perform the way we envision when we originally sanctioned that asset. So a timely question. I would have probably had a less rosy outlook to share, but you'd posed that question 1 year ago or even 6 months ago. 
Operator: There are no further questions at this time. I'd now like to turn the call back over to Mr. Calvin Locke, for any closing remarks. 
Calvin Locke : Thank you all once again for joining us today. And please feel free to reach out to Keyera's Investor Relations team with any additional questions you may have. Thank you. 
Operator: Thank you, presenters. And ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.